Operator: Welcome to the Signet Jewelers Fiscal 2013 Fourth Quarter and Full-Year Results Conference Call. My name is Lorraine, and I will be your operator for today's call. At this time all participants are in listen only mode. Later we will conduct a question-and-answer session. I will now turn the call over to Mr. James Grant, Vice President of Investor Relations. Sir, you may begin.
James Grant: Good morning and welcome to our fiscal 2013 earnings call. On our call today are Mike Barnes, CEO; and Ron Ristau, CFO. The presentation that will be referencing is available from the Financial section of our website, www.signetjewelers.com. During today's presentation, we will, in places, discuss Signet's business outlook and make certain forward-looking statements. Any statements that are not historical facts are subject to a number of risks and uncertainties and actual results may differ materially. We urge you to read the risk factors, cautionary language and other disclosures in the annual report on Form 10-K filed with the SEC today. We also draw your attention to Slide #2 in today's presentation. And I will now turn the call over to Mike.
Michael W. Barnes: Thank you, James, and good morning, everyone. We're very pleased with our record fourth quarter and full-year results. For the quarter, our comp at Signet increased by 3.5%. U.S. division comps grew at 4.9% on top of an 8.3% increase in Q4 the prior year. U.K. comps declined 1.9%, that was against a 1.7% increase in the Q4 of the prior year. I'll speak in a few minutes about how we are addressing the U.K. results. Signet delivered record Q4 profits driven by the strong execution of our strategies, which led to growth in same-store sales, store productivity and gross margin. Operating income was $267.7 million, up $23.8 million or 9.8%, and diluted earnings per share were $2.12, up $0.33 or 18.4%. Now, I'll turn to the excellent results of our full fiscal year 2013. Same-store sales increased by 3.3%. The U.S., which represented 82% of our sales for the year, delivered 4% comp store sales, which was outstanding after an increase of 11.1% last year. In the U.K., we comped slightly positive at 0.3%. We delivered record profit for the year. Our operating income climbed by 10.5% and diluted earnings per share came in at $4.35, up 16.6%. There were other highlights as well beyond just the income statement. We repurchased 7.4% of our outstanding shares in fiscal 2013. Also, we increased our dividend in the first quarter by 20%. And I'm very happy to say we announced today another dividend increase, this time by 25% or $0.03 per share on a quarterly basis. Also, during fiscal '13, we had a strong operational performance. We increased our square footage globally by 8.2%. In part, through the acquisition of Ultra Stores, to gain a leading position in the outlet channel space, and organically, by opening 46 new Kay and 7 new Jared stores for a total of 53. Now looking at the annual U.S. performance in a little more detail, in general, for the year, we saw a broad-based strength across many merchandise categories in both Kay and Jared as well as the Ultra acquisition, which occurred in the beginning of Q4. U.S. total sales were approximately $3.3 billion, up $239.8 million or an increase of 7.9%. Kay comp sales grew 6.4%, which was over the 11.8% growth achieved in fiscal 2012. Jared comp store sales were up 1.6% for the year following an increase of 12.1% last year. Fiscal 2013 Jared comps were adversely impacted by 3.5% due to the onetime Rolex clearance event in fiscal 2012 and the discontinuation of that watch line. The event impact created a decline in average merchandise transaction value for fiscal 2013 as well. But importantly, the number of transactions at Jared increased by 5.7%. Overall, our U.S. same-store sales increased 4% in fiscal 2013, compared to 11.1% last year. Finally, the record Signet operating profit I mentioned moments ago, was driven by the U.S. which delivered nearly 15% growth and a 16.7% operating margin. It was a great year for our U.S. team members. Now, let's take a look at what drove the performance starting with merchandise. Our merchandise sales growth was broad-based with strong growth across many categories including bridal and fashion jewelry, which includes colored diamonds and watches as well. In fiscal 2013, branded, differentiated and exclusive merchandise gained relative share within our product portfolio. The category grew by 9.7% and ended the year accounting for 27.4% of our merchandise sales mix, up by 110 basis points. This growth was led by Le Vian, Neil Lane Design, Neil Lane Bridal, Tolkowsky, Shades of Wonder and Open Hearts by Jane Seymour. Other significant drivers were colored diamonds, particularly our artistry and vivid diamond collections, as well as earrings and necklaces. Our watch business excluding the impact of the Rolex discontinuation in fiscal 2012, was up by double digits as we continue to develop this important category. Our leadership in a marketing and advertising continues to be an important driver of our U.S. sales. Everyone knows that Every Kiss Begins with Kay and He Went to Jared. For the holiday season, we invested in 8 new creative TV ads to continue our industry-leading share voice. In fiscal 2013, our advertising investment was $224 million, driven by Kay and Jared, which had the scale and profitability to invest significantly. Our branded, differentiated and exclusive merchandise continued to provide compelling stories that we can effectively communicate in our messaging. Now that drives purchase intent. We are also investing aggressively in growing our in-store technology, e-commerce and social media to build upon our multichannel offering. Kay and Jared stores went through their first holiday season in fiscal 2013 that they were armed with computer-assisted selling tablets. These touch screen devices were seen by both our associates and our customers as highly successful selling tools. In social media, we remain pleased with our customers' response to the content we're delivering. Our fan base and followers continue to climb and social media outlets are driving more traffic to our stores and our e-commerce sites. We'll continue providing customers who visit our digital environment with an outstanding shopping experience. For Kay and Jared, we operated newly relaunched websites as well as new mobile apps. For the year, e-commerce sales grew by 48% in the U.S. to $101.4 million. Another very important element of our multichannel offering has been our expansion in the outlet channel with the acquisition of Ultra Stores last year. We launched this initiative with the goal of becoming the #1 jeweler in outlet malls. Our strategy is to leverage the Kay brand with Ultra's outlet expertise. We will convert the majority of the stores to Kay outlets by the end of the second quarter, giving us the ability to leverage advertising, increased productivity and drive sales. The integration is progressing on track and our teams are doing an excellent job with the integration process. We remain very excited about this business and expect significant growth. Now, in turning to the U.K. Fiscal 2013 total sales were $709.5 million, down $5.6 million or 0.8%, but the same-store sales increased by 0.3%. E-commerce sales were $28.4 million, which was up $4.6 million or a strong 19.3%. The U.K. experienced sales growth, primarily in branded fashion and bridal jewelry, as well as a fashion and prestige watches. Sales were unfavorable in a non-branded jewelry and beads. The economic environment remained challenging and customer traffic was lower, particularly in the fourth quarter. In addition, customers continued to gravitate to promotional merchandise which reduced the effectiveness of price increases in gross margins. Store closures and foreign currency fluctuations were also unfavorable for sales. Operating income was $40 million, down $16.1 million from the last year. Operating margin decreased by 220 basis points to 5.6% compared to 7.8% last year. This was primarily due to lower gross margin. I would like to thank our U.K. team members though, for their strong efforts in what continues to be very challenging marketplace. In our review of the U.K. business for the fourth quarter and last year, it reaffirmed our commitment to our 3-part, long-term strategy, which is focused on merchandise, real estate channel optimization and cost control. In our review, we realized that there are opportunities to further strengthen our merchandise offerings by testing and implementing improved bead programs, refocusing our merchandised efforts in general on continued innovation with a focus on our opening price plan offerings as well, and by building off strength in prestige and fashion watches to enhance the future business. We will stay focused on the merchandise assortment. We believe we have the right programs in place to achieve our targeted real estate and cost-saving initiatives as well. Therefore, we'll maintain our commitment in these areas. This market does remain challenging, and while we continue to have an achievement of 10% operating margin as our goal, it may take a little longer to achieve than originally thought. Our goal continues to be an enhancement of Signet's market-leading position. We intend to achieve that through initiatives around people, by focusing on attracting, retaining and training the best team members in the industry, brands and the overall strength of our merchandise offerings, our channels of distribution, our infrastructure and our strong financial position. And now I'd like to turn the call over to Ron for a little bit more color.
Ronald W. Ristau: Thank you, Mike. I will start by reminding everyone that Signet follows the retail reporting calendar, which included an extra week in the fourth quarter and fiscal 2013. The additional week added $56.4 million in sales and reduced diluted earnings per share by $0.02 for both the quarter and year. The extra week is not included in same-store sales calculations. For the quarter, total sales for Signet's increased 11.8% to $1,513,300,000 compared to $1,353,800,000 last year. Total Signet same-store sales increased 3.5%, on top of the 6.9% growth last year. In the U.S., total sales increased 14.2% to $1,244,900,000, including a same-store sales increase of 4.9%. This was on top of an 8.3% comp increase last year. Non-same-store sales were up 5.3%, which includes new stores at 1.3% and Ultra, which added 4%. The extra week added another 4% or $43.5 million. I would like to point out in our 10-K, which was filed today, we are introducing reporting on average merchandise transaction value and the number of merchandise transactions as we committed to you last year. In the U.S., the number of merchandised transactions increased 6.4% and the average merchandised transaction value increased by 2.7%. In the U.K., total sales increased 1.8% to $268.4 million, while comp sales decreased 1.9% as compared to an increase of 1.7% last year. Let me walk you through this. In the U.K., we experienced negative comparable store sales of 1.9% and a 3.6% decline in non-same-store sales due to store closures. Offsetting this, there was a 4.8%, or $12.9 million increase in sales for the 14th week and a 2.5% increase in sales from currency movements. The average merchandise transaction value was down 2.4% while the number of merchandise transactions was essentially flat as increases in conversion helped to offset customer traffic declines. Signet e-commerce sales were $63.9 million, up $20.4 million or 47%, continuing the strong trend. And for the year, e-commerce sales were $129.8 million, up $37.5 million or 40.6%. Now, let's take a look at the rest of the fourth quarter P&L. Fourth quarter operating income increased $23.8 million to $267.7 million, up 9.8%. Gross margin was $637.1 million, an increase of $73.9 million. The gross margin rate was 42.1%, up 50 basis points. Gross margin dollars in the U.S. increased by $79 million, reflecting primarily increased sales and a gross margin rate increase of 120 basis points, primarily due to an increase in the gross merchandise margin rate of approximately 140 basis points, primarily caused by the product mix. Gross margin dollars in the U.K. declined $5.1 million, primarily reflecting a decline in the gross margin rate of 260 basis points. This was primarily caused by decline in the gross merchandise margin rate of 60 basis points, caused mainly by customers preferences for promotional merchandise, with unfavorable leverage on cost due to the 14th week and currency movements accounting for the difference. Selling, general and administrative expenses were $410.9 million, and as a percentage of sales, increased 130 basis points to $27.1 million. This was primarily due to an increase in advertising costs and store expenses due to the 14th week and the Ultra acquisition, which I'll discuss in more detail in a moment. Our other operating income was $41.5 million, up $12 million versus last year due to a permanent adjustment in the credit cycle processing, the mix of finance programs selected by customers and greater interest earned from higher receivable balances. Overall, the operating income increased -- led to a fully diluted share -- earnings per share of $2.12, up 18.4%, a very strong performance. So a few points on SG&A. Our SG&A increased more than usual in the quarter, both on an absolute level and as a percentage of sales, but there are very logical reasons for it. First, the impact of the 14th week, generated $26.7 million of incremental SG&A expense. This was primarily due to a store payroll and the timing of the key Valentine's Day marketing campaign. The SG&A rate for this week was, of course, distortive. Second, the Ultra impact was $13.4 million. We incur expenses for approximately 110 more retail stores versus prior year in the fourth quarter. And lastly, a variety of items totaling $22 million, which primarily reflected investment in advertising and a number of other initiatives. We believe our SG&A remains well controlled and point out that the SG&A rate, excluding the 14th week and Ultra, would have been 26.2% of similarly adjusted sales for the fourth quarter. As I've addressed the quarter, here are few points on the year. Fiscal 2013 was a record year for Signet. I'd like to highlight several key financial accomplishments. Total sales increased 6.2%, driven by the U.S. performance and the acquisition of Ultra to expand our outlet presence. Same-store sales were up 3.3% on top of the 9% comp last year. We improved our gross margin to 38.6% of sales, an increase of 30 basis points driven by the strong performance of the U.S. division. SG&A remains well controlled and was reported at 28.6% versus 28.2% last year. The increase of 40 basis points was primarily due to the 53rd week and the Ultra acquisition. Excluding these items and the related sales, the rate was 28.3% of sales, virtually consistent with last year. Our operating margin was 14.1% versus 13.5% last year, as we continue to make progress towards our long-term goal of 15%. And finally, adjusted -- I'm sorry, fully diluted earnings per share grew by 16.6% to $4.35. Taking a quick look at our cash positions, we began fiscal 2013 with $486.8 million in cash. During the course of the year, net cash provided by operating activities was a source of $312.7 million. Our first priority in using cash is to invest back in our own business. To that end, capital spending totaled $134.2 million, driven by new stores, remodeling and information technology investments. We also invested in a long-term growth of Signet by purchasing Ultra for $56.7 million, using our available cash to quickly close. Beyond reinvesting in our operations, we have taken a shareholder friendly view towards the use of cash. In fiscal 2013, we returned value to shareholders in the form of both stock buybacks and dividends paid, which together, totaled $325.6 million. We ended the year with cash of $301 million or 7.6% of sales, consistent with our objectives of targeting cash between 7% to 9% of sales at year end. Our net inventory ended the year at approximately $1.4 billion, an increase of 7.1% from 1 year ago. One of the main drivers was the addition of $40 million of Ultra inventory. Excluding Ultra, our inventory increased by 4.1%. The balance of the increase was a result of higher commodity costs and the strategic investments such as our rough diamond sourcing initiative, which added approximately $35 million to inventory. These increases were partially offset by actions to improve inventory terms and we believe our inventory remains the best controlled in the jewelry industry. Let's review the performance of the credit portfolio for the year. The performance during fiscal year '13 of the credit portfolio has been very strong. Accounts receivable at year end were $1.2 billion, up 10.8% due to higher credit sales driven principally by an increase in our bridal business. Credit participation as a percentage of U.S. sales, was up 80 basis points in fiscal 2013 to 56.9% and the average outstanding account balance was up 3.9% to $1,110. The average monthly collection rate was 12.4% as compared to 12.7% last year, reflecting a mixed change in the finance program selected by customers. As a percentage of the U.S. sales, the net bad debt increased 30 basis points to 3.7%. This was driven primarily by the onetime impact of the credit cycle processing change. Excluding this impact, the rate was virtually flat to last year. Please note, we did reserve $2 million for the impact of Superstorm Sandy on our customers as we closed the year. Finally, other operating income increased due to a change in the mix of finance programs selected by customers and interest income earned from higher outstanding receivable balances. This offset the increase in bad debt expense with the net benefit being approximately $15.6 million for the year between the 2. Lastly, our guidance for the first year of fiscal 2013. These were same-store sales growth of 5% to 7%. We are also forecasting that Q1 fiscal 2014 diluted earnings per share will range from $1.07 to $1.12. Our capital spending for fiscal 2014 is anticipated to be $180 million to $195 million, which includes opening 65 to 75 new Kay and Jared stores, remodels, the Ultra integration and investment in information technology, as we to continue to focus on growth and productivity. At the high level, our financial objectives for the business in fiscal 2014 are to increased sales and gain profitable market share, to manage our gross margin by increasing sales productivity and balancing commodity cost increases with price adjustments and developing unique multichannel advertising programs and supporting new initiatives, while appropriately managing our SG&A ratio. We believe we are well-positioned for another strong year of accomplishment. And now, I'll turn the call back over to Mike.
Michael W. Barnes: Thanks, Ron. In conclusion, I'd like to, once again, thank the Signet team worldwide for their contributions to what has been a very successful year. We would now be pleased to take any questions that you might have.
Operator: [Operator Instructions] And our first question comes from Simeon Siegel from JPMorgan.
Simeon A. Siegel - JP Morgan Chase & Co, Research Division: So Ron, just given the timing shifts ahead related to the 53rd week, what's the rate implied total sales range for the first quarter within that 5% to 10% comp?
Ronald W. Ristau: I'm sorry, we didn't give a total sales rate so I can't give it since we didn't put it in the press release. It will be 5% to 7%. It will be 5% to 7% comp. I will point out that we do have this calendar shift of Mother's Day coming back into the first quarter. That does not affect comp because of the way that comp calculations shift with the 53rd week, so I just want to make that point. But the comp performance we are expecting is driven by the underlying performance of our business.
Michael W. Barnes: Yes, Simeon, this is Mike. Just to add to that. Really, I think the right way to look at it is that the broad-based core business is really driving the underlying comp performance and the couple of shifts that we've had like with the 53rd week or with the Mother's Day, really aren't what's driving that underlying comp.
Simeon A. Siegel - JP Morgan Chase & Co, Research Division: Got it. And then, Mike, could you just talk briefly about the underlying fruit at Ultra. I mean, is it as simple as just converting the signage out front and then letting the Kay brand do the rest? Could you just -- I guess, you guys are planning to convert by the middle of the year. I mean, should we see accretion maybe earlier than that Q4 date?
Michael W. Barnes: No. It's not quite that simple. I wish that it were that simple, but there's a lot of things. What we're doing is we really are marrying the leverage and the equity that we have with the Kay brand name along with the expertise that Ultra has. They have over 100 outlet stores when we made this acquisition, which basically was triple the number of stores that we had, more or less. And so immediately, it put us in a leading leadership position within the outlet store business. But they also brought a lot of expertise on running outlet stores and good ideas can come from anywhere. We're very pleased with a lot of what we've learned as we've been transitioning the Ultra stores and we believe we're going to be well-positioned. Having said all that, with the equity that Kay brings, as we changed the nameplates on the stores, as we update the merchandise mix, for instance, we were able to get some Jane Seymour product into the Ultra Stores in time for Valentine's Day and it was a great seller in those stores, even without the Kay nameplate. So I think the change in merchandise mix, the equity that Kay name brings and the expertise that Ultra brings in the outlet store channel, that's a strong combination that's really going to help us drive that business higher and higher over time.
Ronald W. Ristau: And just to follow on your point on accretion on Ultra, again, we're not expecting -- it will actually be slightly diluted in the first and second quarter as we said repeatedly. So it's a couple of pennies each quarter and probably, relatively flat maybe a penny on the third and then we're expecting it to start to become accretive in the fourth quarter as we complete the program.
Operator: And our next question comes from Lorraine Hutchinson from Bank of America.
Lorraine Maikis Hutchinson - BofA Merrill Lynch, Research Division: As we think about gross margin for this year and next, can you just provide an update on product costs and where those are versus last year?
Ronald W. Ristau: Well, it's a very complex question. As you know, our product costs are really long-term averaging cost. We're running a FIFO inventory system but it averages the cost of inventory over time, so that any movement in the commodity prices, whether up or down, is slowly reflected in the average cost as it moves through the system. And so, it's hard for me to predict exactly where costs will go in the future You know what's been happening with gold. We actually got a little break on gold this year and -- but diamonds, we expect to start to accelerate again due to the pressures on demand, really. So what I would say to you is that whatever happens in cost as we move forward, our goal is to manage our gross merchandise margins by balancing cost increases with whatever price increases we need to take. And it's hard to be more specific than that because I don't have a predict cost going forward. So we're always looking at it and making adjustments as we need it. I'm sorry, I can't be more specific about that.
Lorraine Maikis Hutchinson - BofA Merrill Lynch, Research Division: And have you raised prices so far this year?
Ronald W. Ristau: We usually raise prices. Not so far, but we usually do our price increase somewhere between the first and the second quarter of the year. That has been our historical trend, so we intend to do that once again. That is correct.
Operator: And our next question comes from Jeff Stein from North Coast Research.
Jeffrey S. Stein - Northcoast Research: Couple of questions. First of all, Ron, wondering if you could talk about the impact of the Mother's Day shift in terms of what it's worth to the first quarter. And in turn, obviously, I guess, it will have a negative impact on Q2?
Ronald W. Ristau: It's an interesting question. Thank you for the question. When Mother's Day shifts into the first quarter this year, it has virtually no impact on the comp calculation because of the way in which you shift the comp calculations resulting from the 53rd week. So it has no impact on comp. It will have an impact on total sales in the range of, let's say, in the range of $30 million, okay. And that will come out of the second quarter and move into the first quarter. What will happen is -- and this is why we indicated in the 8-K that we filed right before we went to the ICR Conference, is that, what that will do is, in the second quarter, it will make it difficult for us to generate significant increases in earnings per share because of the dollar shift back into the first quarter. Therefore, we have made the statement we believe that will be essentially flattish in the second quarter for that reason than with, of course, growth resuming as we move into the third and fourth quarter. So that's really what's going to happen as a result of it. Again, it doesn't affect comp. It just simply affects dollars in the first quarter.
Jeffrey S. Stein - Northcoast Research: Understand. And regarding your -- kind of your march towards the target of a mid-teens EBIT margin, I'm kind of curious, given the fact that you are investing this year in Ultra, do you believe that you can improve over your 14.1% EBIT margin that you just reported for the fiscal '13 year?
Ronald W. Ristau: We certainly believe that, that's an objective of the company.
Michael W. Barnes: And as we stated, we feel pretty good about achieving the objectives that we've laid out at this point in time.
Jeffrey S. Stein - Northcoast Research: Okay. And final question, if you could just address kind of your thinking on the U.K. in terms of pushing back your target to achieve that 10% EBIT. Is it primarily a macro headwind or are there any structural issues such as, perhaps, not being able to close as many of the unprofitable stores as soon as you would like? And maybe you could just talk about the plans for store closings this year in the U.K.
Michael W. Barnes: I'll address that at a high level. Basically, certainly, we've continued to see strong macro headwinds there. I'll just reiterate, it was in the presentation, but just to make sure if I have to, basically, especially in the fourth quarter, we saw a decline in traffic. We had great execution in the stores and our conversion was up, so that kind of offset the traffic and put us back to even. And the downside that we had there was really on the average selling value of the merchandise because the customers just continued to be strongly promotional in their choices. So that's really what drove what happened in the U.K. We still believe very strongly in that 3-part strategy. We are working on merchandise fast and furious right now. We'll continue to do that. We believe that we've done some very good analysis of our real estate portfolio and we do continue to close doors as appropriate based upon the financial analysis that make sense to do so. So we haven't really slowed anything down there. And we are making the expected gains that we expected on the cost control initiatives as well. So I believe that our -- operationally, we have been pretty much on target. Fourth quarter was a downward shift in traffic and a downward shift in the average selling prices of the merchandise based on promotions that was just too much to overcome with -- even with our increased conversion process. So it's going a little bit slower but we still believe in our strategy there. The team is working very hard to implement it and execute it. And we're confident that we will continue to move towards our goals.
Ronald W. Ristau: And just to be specific on your question on store closures, it will be in the -- around about the mid-20s of stores that are closed next year in the U.K.
Operator: And our next question comes from Rick Patel from Stephens.
Rick Patel: Can you give us a little bit more detail on the benefit you had in the U.S. gross margins from merchandising mix? I'm curious if fashion jewelry did better than bridal or if there's something else going on there? And should we expect that benefit from mix shift to continue for the rest of this year?
Ronald W. Ristau: Well, I would say that the bridal business was good, the fashion business was good, the colored diamond business was good, the watch business was pretty good. We saw a growth around -- the shift is kind of subtle in the mix. It's nothing that is -- like there's one thing that I would describe and say, "Well, that's what cost the shift -- the mix shift." We do have a slight mix shift relative to having the bridal business up and some of the Neil Lane products and some of the more expensive products in one. But it's really -- it's kind of an overall mix rather than one specific thing that caused that.
Michael W. Barnes: Yes, I think it's pretty subtle really, Rick. But as we said, our branded, differentiated and exclusive merchandise grew by 9.7% last year. And that certainly, as we have stated, it has a slightly higher margin. But again, it's pretty subtle. It's not an extremely higher margin on a comparative basis, but when you add it all together, that's where it came out in the mix. And I would expect to continue to see brands do well as we move forward.
Rick Patel: And then just a question on e-commerce. In the past, you've talked about consumers preferring to shop in person for jewelry instead of going online so that they can experience the product, and at the same time, your e-commerce has been very strong over the last year. So do you think customers are changing their approach to buying jewelry more towards online channels or do you see your strong growth as a function of taking market share? Just help us think about that.
Michael W. Barnes: It maybe a little bit of both, quite frankly. One of the strongest initiatives that Ron and I have been driving in the last couple of years is e-commerce. And when you look at the growth, the long-term growth that we've had there, it's pretty astounding. In the U.S., we grew e-commerce by 48%. And even in the U.K., which as we've just talked about, very, very difficult market, we have strong double-digit growth there as well. So we are behind so many initiatives here and we believe in not only e-commerce, but the entire digital ecosystem. It's everything that we're doing out there with our customer information base, with the social media initiatives that we have tackled and that we continue to move forward on, that people are very pleased with, as well as the e-commerce sales. And we're seeing the benefit online and in-store. And the technology that we have in-store is just making that even stronger. The touch pad that we supplied our associates with during the fourth quarter, first time they had it during the holiday season, it was very well received. And we've got lots of great feedbacks from that. So I believe everything we're doing from a digital standpoint will continue to drive forward and we can expect to see continued gains in that area.
Operator: And our next question comes from Oliver Chen from Citigroup.
Oliver Chen - Citigroup Inc, Research Division: Regarding the 5% to 7% comp guidance, is that going to be primarily driven by transactions? How should we think about the key metrics from which you'll likely achieve that? And also, could you speak to the potential for bridal penetration to increase other income and if that, is something that will be a positive to the operating margin this year?
Ronald W. Ristau: I think -- let me answer the last question first. The major shift we saw last year was as a result of the customers opting out of our interest-free program and into our normal credit terms. That shift has stabilized, if you will. We're not seeing a shift move any further than what it did during last year. So that was a primary driver of the increase in other operating income. So that level of shift, I do not believe this should count on for fiscal 2014 or forward. But as the credit portfolio grows, obviously, the income earned on it will increase, but that's a much -- at a much lower rate than what happened last year with a shift in program, that's number one. And your first question, had -- repeat it again? Transactions. It's hard to predict transactions versus price. We don't actually predict forward that way. I have to defer an answer on that till we get through the first quarter. We have seen very strong business. Our business has been good. So I would bet that our transactions are running up, as well as our prices too. I would say a little bit of both, just like we got in the fourth quarter, if you really push for an answer on that. I think that probably would be our expectation, but I'll have to say we'll see how it ends up.
Oliver Chen - Citigroup Inc, Research Division: And our final follow up is, in relation to the changes with Rolex, have you guys -- do you expect there to be a change in terms of what you're feeling in there? And will this be a potential benefit to the back half as you anniversary with a newer department there?
Michael W. Barnes: Well, we're very pleased with the way that our watch business is building right now. And as I mentioned, in the prepared remarks, ex Rolex, we had strong double-digit gains in most of the brands, quite frankly and we the continue to work with new brands. We've put more fashion into there, with Michele watches, for instance. We've been testing Gucci. We have some other things up our sleeve. But we feel very good about the growth of our watch business, and while it's a small mix in the United States, it's much more prominent in the U.K. It's been a strong business, stronger part of our business in the U.K. as well. So we think the watch category is extremely important to our future and we are working diligently to continue to build it strongly. So I would just say, stay tuned, Oliver, because there's a lot of good things to come there.
Ronald W. Ristau: And Oliver, just a follow up on there just a little bit. Again, I would say that as we look across the year, we -- given our guidance for the first quarter, we've suggested that people be very careful about their expectations for the second quarter because of the Mother's Day shift. But as we move into the third and fourth quarter, where were not up against the Rolex and so on, the business should get better. And I think, you'll see more EPS growth in the second half than you will in the first half, barring what happens in the first quarter.
Operator: And our next question comes from Jennifer Davis from Lazard Capital.
Jennifer M. Davis - Lazard Capital Markets LLC, Research Division: A couple of clarifications. So should we assume, based on the 5% to 7% comp guidance, that the Valentine's Day comps were kind of in that or at least, February comps were kind of in that range?
Ronald W. Ristau: Well, we generally don't comment on individual months as you indicate. But our Valenties business was good and we were, as Mike indicated, pleased with the way it all turned out. We had yet experienced a small impact from the snowstorm. We've lost about maybe $5 million of sales for that snowstorm that happened on a Saturday. Other than that, our balance cycle was good.
Michael W. Barnes: And I think, one way that you could characterize that, Jennifer, is to think of it is as very broad base, both over time and over product categories. I'm pleased to say, again, that our business has not been any type of a one-trick pony, whether it be in a short time period or a narrow category. It's been very broad-based for the quarter-to-date and over the categories.
Ronald W. Ristau: The February was a strong month. It was just a strong month for ourselves.
Jennifer M. Davis - Lazard Capital Markets LLC, Research Division: Okay, great. And then going back to the second quarter. I missed this, Ron, you said something about flattish. Were you referring to operating margin or to EPS?
Ronald W. Ristau: I was referring to EPS, really. I was trying to take a look at how we think the pattern of the year will develop. And I would point out that even if it doesn't affect comp, there is a dollar shift -- a profit shift associated with that Mother's Day thing. Therefore, since Mother's Day is such a big part of the second quarter, it will be more difficult for us to show real earnings per share growth that quarter. And then as we move into the third and fourth quarter, things should be back on track.
Jennifer M. Davis - Lazard Capital Markets LLC, Research Division: Great, got it. Okay. And then -- so obviously, second quarter consensus estimates need to come down. I know you don't provide full-year guidance but could you comment maybe on your comfort level with full-year consensus estimates? Because it sounds like there's possibly upside to consensus estimates in the back half.
Ronald W. Ristau: I wish I could. I really can't do that, but you have to think about what we've said and make your own inferences.
Jennifer M. Davis - Lazard Capital Markets LLC, Research Division: Yes. All right, fair enough. Okay. And then my question is on the merchandise at Ultra versus Kay outlets. I mean, the merchandise is pretty significantly different. I know you've added some brands like Jane Seymour to Ultra now. But I guess, it's still early, but you've got your re-term holiday. How are you thinking about maybe some of the merchandise from Ultra going into Kay outlets, kind of the mix that you've got there?
Michael W. Barnes: That's a great question because really what we're trying to do is take an analysis of, obviously, we know how Kay merchandise performs and we've been analyzing how the Ultra merchandise performs. I think, I've said it earlier, but good ideas can come from anywhere and so if they've got some great merchandise that we think could be a big benefit for our outlets, in general, we'll put them in all the outlet stores. And we have learned a lot during the transition of Ultra and we realized that there are certain specifics in running outlet businesses that are different than running a full-priced mall store or a full-priced off-mall store. And so we need to really tweak our outlet business model anyway. And we think, it's just going to make our business even stronger. I mean, we've had a good strong outlet business even with the limited number of doors we had until the acquisition. We believe that we'll be able to drive a lot of that productivity as we convert the Ultra Stores into Kay. And we believe the learnings within the process will lead us to enhance our outlet merchandise offerings and see even more improvement out of that. So it's really a win-win-win situation the way we view it.
Jennifer M. Davis - Lazard Capital Markets LLC, Research Division: Yes. I agree with that. I think, you can take some of that Ultra merchandise or the learnings from Ultra Stores and apply it to the Kay outlets. And then finally, how are you thinking about the shop and shops for the Burlington Coat Factory jewelry locations?
Michael W. Barnes: Well, we're continuing to analyze that business. And right now, we're still in learning stages of operating those as we finish this transition and we'll talk about that more if we see anything change in the future.
Operator: And our next question comes from Ike Boruchow from Sterne Agee.
Irwin Bernard Boruchow - Sterne Agee & Leach Inc., Research Division: I guess 2 questions. The first one, I guess, is for Ron. The bad debts are going up to 3.3% from 3% last year. Ron, is that just a function of the credit portfolio continuing to grow? Can you comment on your average monthly collection rates and just the health of that -- of the portfolio right now?
Ronald W. Ristau: Sure. Well, as I indicated, we think the portfolio is performing very, very strongly. The bad debt expense this year in the first -- fourth quarter, was impacted by 2 things: Number one is this change we made last fourth quarter that doesn't have any real net impact across either fiscal year, but it affects the bad debt in the quarter. So let me just give you what those numbers would be if I restated apples-to-apples. In fiscal '12, the bad debt expense would have been 3.6% and in fiscal '13, it would have been 3.5%. So there's that shift that's causing the difference from -- on an annual basis moving from 3.4% to 3.7%. But that's just the onetime shift. The net impact of it, when you take the impact of how we move bad debt and how we move the operating income, it moved $2 million only, 1 year was positive $2 million and 1 year was negative $2 million, the net being zero and now it's all restated and we have the right operating structure going forward. So that's what happened. The portfolio is performing great. The change in the collection rate which came down by 30 bps, really had to do with the mix of programs. As the customers -- remember, I said, we're choosing less our interest-free program and more of our regular credit terms. As they choose the regular credit terms, the payment cycles stretch out a little bit further. So therefore, it affected the monthly collection rate by 30 bps, so that what caused the entire change. So other than that, we really love the way the portfolio has been performing. It's been very strongly supporting our business, and as I mentioned, in particular, our bridal business. Consumers are behaving very well other than a small regional issue, of course, called by Superstorm Sandy in New York, where we set up a specific reserves of $2 million. But really the portfolio is performing great and we're very pleased with it and we look forward to another good year this year.
Irwin Bernard Boruchow - Sterne Agee & Leach Inc., Research Division: With the participation rate approaching 57% of U.S. sales, is there a certain ceiling that you guys kind of view that and kind of say to yourself, "Well, if it hits X, that's kind of a tipping point. We don't want to put too much our sales on credit."
Ronald W. Ristau: No, I mean, we really don't. We have a lot of confidence in our credits scoring mechanisms and the way we grant credit. And we've seen no change in the -- for instance, still approximately 50% of the people who applied for credit are granted credit, 50% percent do not get credit. So no, there's no ceiling to it. And as we continue to focus on our bridal business, you could see that number keep going up, because as I've mentioned a couple times, the penetration in bridal can be 70% or even a little bit higher than 70% sometimes. So that's really what drives it. I don't think it ever gets terribly much higher than 60ish. But I think as it moves up, it doesn't really concern our site, because we're watching all the credit decision metrics and those are very high quality metrics and the performance has been great.
Irwin Bernard Boruchow - Sterne Agee & Leach Inc., Research Division: Okay. Last and follow-up is, the last couple of years, I think, I believe you guys have provided some kind of free cash flow guidance. Just wondering if there's anything you can kind of share with us there. And also, when we think about your working capital needs this year, should there be a benefit because of the cost of goods flowing through on the lower cost, on diamonds and some of these precious metals?
Ronald W. Ristau: Okay, let me see if I have the question right, I'm sorry. The capital, our capital requirements for next year?
Irwin Bernard Boruchow - Sterne Agee & Leach Inc., Research Division: No, no. The last 2 years, I believe, you've given your free cash flow guidance for the year.
Ronald W. Ristau: Yes. We try to kind of back away from free cash flow guidance. Not that there's anything wrong with our cash flow, it's just that it's a non-GAAP measure and it was causing us a lot of heartaches, so we decided not to do it. We're still giving the capital guidance which is in the $180 million to $195 million range. We believe our cash flow will continue to be strong. And we will be able to continue to invest in capital and dividends. And the strength of our capital is evidenced by the fact that we increased the dividend by 25% this year. But we kind of try not to give specific numbers on that.
Irwin Bernard Boruchow - Sterne Agee & Leach Inc., Research Division: Sure. Well, I guess, to rephrase another balance sheet question. Because of the input cost deflation that should start to work its way to the P&L, could inventory start to come in below sales growth?
Ronald W. Ristau: Oh, that's a good question. Yes, I understand, I'm sorry. I again say that the changes in commodity pricing have to take place over a long, long period of time before they start to really have major impact. We are doing and executing certain programs, one of which I called out, which is our rough diamond purchase program, which does add a layer to our inventories so it moves us back a step in the supply chain. All right. And that will -- we will continue forward with that. So that my overall view is that even though there could be some benefit from commodity pricing, and let's all knock on wood and hope that it comes through the year, yes, the inventory would adjust a little bit. But we will be buying more and more of these rough diamonds, which will have some offsetting impact. And my bet is that you would still see slow low single-digit type growth in the inventory levels.
Operator: And our next question comes from Bill Armstrong from CL King & Associates.
William R. Armstrong - CL King & Associates, Inc., Research Division: Could you give us the expected cost of the Ultra integration for first quarter or the first half of the year?
Ronald W. Ristau: What I could do is give you the total capital investment that we're going to make next year, which is for -- it's for all things. It's about -- for changing the signs and reconfiguring some stores and a variety of other work, inputting new POS systems and bringing them up on our POS and credit systems. That's about $18 million. It's included within the base of our capital spending. Within the first 2 quarters of the year, which include our -- let's call it transitional and start-up costs and overlap cost and things of that nature, we would expect it'd be a couple of pennies each quarter that we actually loose in Ultra. We expect it to start becoming accretive by the fourth quarter of the year. But the main cost is that capital conversion cost and that is about $18 million.
William R. Armstrong - CL King & Associates, Inc., Research Division: Got it. Okay. Does -- are Ultra's gross margins or merchandise margins more or less in line with the rest of the company or is there a significant difference?
Ronald W. Ristau: They're more or less in line. They are a touch lower right now as we change the mix of products and we'll see how that develops over the year. Their margins are a touch lower than ours right now because of the way they discount and the way that they buy. We expect, of course, to drive buying efficiencies and we'll be adjusting the mix. So outlets, in our own outlets, we're on a just a touch lower than our business, nothing significant. But because of the fact that you've got more promotional product in there, there is usually a slight, slight impact in the margin.
William R. Armstrong - CL King & Associates, Inc., Research Division: Got it. Okay. And your credit card operations, are they -- is that in the Ultra Stores or is not leaving?
Ronald W. Ristau: No it's not. That's, of course, a big opportunity for us. We will be -- when we convert to our POS system, that will automatically give the Ultra Stores access to our credit systems. So it will be mid-year before they have access to the Signet credit department. And that's when we expect that will be very helpful to sales in the second half of the year, of course, because that's something they cannot offer today.
William R. Armstrong - CL King & Associates, Inc., Research Division: Okay. All right. So POS rollout is obviously, is part of the integration. And I guess when we look at the...
Ronald W. Ristau: POS is part of integration and POS includes the credit rollout.
William R. Armstrong - CL King & Associates, Inc., Research Division: Got it. Okay. And when we look then at the customer finance participation of 56.9%, I guess, we should exclude the Ultra sales from Q4 in the numerator?
Ronald W. Ristau: That number is coded, I think, that's the sales without Ultra.
William R. Armstrong - CL King & Associates, Inc., Research Division: Okay, Okay. Last question. In what way did Sandy impact bad debt? Why would a storm have impacted the [indiscernible].
Ronald W. Ristau: Well, we see a certain of our -- well, customers in the New York area were terribly impacted from a personal financial situation, from -- people lost their homes, their lives were disrupted. So that's really what caused it. And -- so that -- we noted it and we tried to work as best we can with our customers and we set up this reserve because we do understand that there are extenuating circumstances.
Operator: And we have time for one more question. And that question is from Jessica Schoen from Barclays Capital.
Jessica Schoen - Barclays Capital, Research Division: I was wondering if there is any market shared data that you could share with us to help us understand how you're growing in context of the overall market, maybe even just in the U.S.?
Ronald W. Ristau: In terms of overall, we use the government statistics, which have not yet really been issued. We will -- we can give you more color on that in the future. Obviously, we don't -- it usually comes in that we can probably give you some numbers by the second quarter. We believe we continue to grow market share. We just don't have the official statistics therefore, we couldn't quote it in our 10-K or in our call at this point in time. But when we get those statistics, we'll be happy to share them with you.
Jessica Schoen - Barclays Capital, Research Division: Okay, understood. And then you talked about a few merchandise categories that were very successful for you in the past year. I was wondering, if looking ahead to 2013, if there are any initiatives in particular that you're very excited about?
Michael W. Barnes: Yes. I mean, we always have initiatives that we are excited about. Just an anecdotal comment, our merchandising team was very excited about some of the new tests that they ran. But tests are tests so we're continuing to analyze the results of that. We think we are going to have great merchandise offerings for the year. We think that current brands that we have and the way that we're extending those and developing new and exciting and innovative products is really going to help us to continue to drive a strong business. But there will be some new stuff coming and there will be continued evolution of current brands and merchandise. And by the way, our merchandise offerings, on the branded side are fantastic. And as you heard on our exclusives and differentiated brands, they grew by 9.7%. But even in our non-branded core merchandise offerings, a lot of people don't realize, a lot of that merchandise is still exclusive to us. And we put just as much effort into how we innovate it and putting fashion into it and following the trend. So we're pretty excited about our merchandise offerings across the breadth of our company right now. So I would say stay tuned, just as last year. I also don't like to get in too much detail for competitive reasons until we have things positioned out in our stores and we can start taking advantage of it.
Operator: And I will now turn the call back to Mr. Barnes for closing remarks.
Michael W. Barnes: I'd like to thank all of you for taking part in the call and to the great questions that you had for us. Our next scheduled call is on May 23 and we'll review our first quarter results at that time. Thanks again and goodbye. Have a great day.
Ronald W. Ristau: Thank you.
Operator: Thank you. And thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.